Operator:
Timothy Jerzyk:
David Novak:
Richard Carucci:
Patrick Grismer:
David Novak:
Timothy Jerzyk:
Operator: 
John Ivankoe – JPMorgan:
David Novak:
John Ivankoe – JPMorgan:
David Novak:
John Ivankoe – JPMorgan:
David Novak:
Operator:
Jeff Omohundro - Davenport and Company:
David Novak:
Operator:
David Tarantino – Robert W. Baird:
David Novak:
David Tarantino – Robert W. Baird:
David Novak:
rating:
Operator:
Keith Siegner - Credit Suisse:
Patrick Grismer:
Operator:
John Glass - Morgan Stanley:
David Novak:
John Glass - Morgan Stanley:
David Novak:
Operator:
Andy Barish - Jefferies:
David Novak:
Operator:
Joseph Buckley - Bank of America Merrill Lynch:
David Novak:
Joseph Buckley - Bank of America Merrill Lynch:
David Novak:
Joseph Buckley - Bank of America Merrill Lynch:
Patrick Grismer:
Operator:
Howard Penney - Hedgeye Risk Management:
David Novak:
Howard Penney - Hedgeye Risk Management:
Richard Carucci:
Operator:
Brian Bittner – Oppenheimer:
Patrick Grismer:
Operator:
Diane Geissler - CLSA:
Richard Carucci:
David Novak:
Operator:
Jason West - Deutsche Bank:
Patrick Grismer:
Operator:
Larry Miller – RBC:
Patrick Grismer:
Operator:
Jeffrey Bernstein – Barclays:
David Novak:
Operator:
Eric Gonzalez – UBS:
David Novak:
Eric Gonzalez – UBS:
David Novak:
Timothy Jerzyk:
Operator:
Michael Kelter - Goldman Sachs:
Patrick Grismer:
David Novak:
Michael Kelter - Goldman Sachs:
Patrick Grismer:
David Novak:
Operator:
Mitch Speiser – Buckingham Research:
Richard Carucci:
Mitch Speiser – Buckingham Research:
Patrick Grismer:
David Novak: